Operator: Ladies and gentlemen, thank you for standing by and welcome to the Westwood Holdings Group Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today’s program maybe recorded. And now, I’d like to introduce your host for today’s program, Julie Gerron, General Counsel and Chief Compliance Officer. Please go ahead.
Julie Gerron: Thank you and good afternoon. Welcome to our fourth quarter 2019 earnings conference call. The following discussion will include forward-looking statements that are subject to known and unknown risks, uncertainties and other factors, which may cause actual results to be materially different from those contemplated by the forward-looking statements. Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today as well as in our Form 10-K for the year ended December 31, 2019 that is filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. You are cautioned not to place undue reliance on forward-looking statements. In addition, in accordance with the SEC rules concerning non-GAAP financial measures, the reconciliation of our economic earnings and economic earnings per share to the most comparable GAAP measures is included at the end of our press release issued earlier today. On the call today, we have Brian Casey, our President and Chief Executive Officer and Terry Forbes, our Chief Financial Officer. I will now turn the call over to Brian Casey.
Brian Casey: Good afternoon and thank you for taking the time to listen to our quarterly earnings call. As always, I will start with comments on the market environment and investment teams and finish with comments on our business. Volatility continued in the third quarter as markets worldwide fell in August only to rally once more in September. Small caps outpaced large caps and growth stocks rallied over value stocks as market sentiment changed and we saw strong risk on rally beginning in October. Markets were buoyed by rising optimism on economic and trade developments and finished with a string of new all-time highs for most major equity indices. Similarly, fixed income markets also finished the year in positive territory. The Federal Reserve again supported markets with a third rate cut and comments from Chairman Powell suggest this level is likely to persist in 2020. Interest rates recovered much of their decline from the prior quarter and the yield curve returned to normal. An initial Phase 1 trade deal was struck between the U.S. and China which helped fuel confidence in an improving 2020 economic environment both here and abroad. GDP growth remained steadily positive supported by strong trends in consumer spending, low unemployment and low inflation. Sentiment indicators such as the ISM’s PMI for manufacturing also continued to improve building on recent positive readings. Trends outside the U.S. began to show some potential early signs of stabilization and improvement as well. With 2020 Presidential election rhetoric heating up and rising geopolitical tensions, investors will continue to grapple with high levels of uncertainty around the world. As we look into 2020, Wall Street analysts are estimating another year of corporate earnings growth, though questions remain regarding trade and other geopolitical risks. The tight labor market remains supportive of consumer spending which should help keep GDP growth nicely positive. As the economic cycle continues to progress, the preference for high-quality cash generating businesses will likely increase while those companies with high leverage or lower cash generation will fall out of favor. This dispersion should create a favorable environment for active managers who can assess both absolute and relative risk in the client’s portfolios. Turning to investment performance within our U.S. value equity products, our domestic equity products fell behind during the fourth quarter’s risk on rally due to their focus on high-quality and value, but they remained well ahead of their benchmarks for the full year. LargeCap Value and LargeCap Select finished the year ahead of the benchmark by approximately 170 and 130 basis points respectively. Institutional peer rankings for our LargeCap Value and LargeCap Select strategies are strong over multiple periods and their respective peer universes. Our LargeCap Value strategy is in the top quartile over the trailing 3, 5 and 7-year periods and since its inception is in the seventh percentile. LargeCap Select is in the second percentile since its inception in 2014 and is ranked in the fourth percentile over the trailing 5-year periods. SmallCap delivered another strong year of outperformance finishing over 600 basis points ahead of the Russell 2000 value benchmark. Our SmallCap mutual fund, WHGSX, completed 2019 in the twentieth percentile and is in the top decile for the 7 and 10-year trailing periods in Morningstar’s Small Blend universe. Our institutional strategy also has attractive peer rankings with top 20 performance for the trailing 1 and 5-year periods and top decile rankings for annualized 7 and 10-year periods and since its inception in 2004. Our SMidCap strategy finished the fourth quarter ahead of its Russell 2500 Value benchmark and 700 basis points better for the year. The trailing 3-year returns are ahead of the benchmark and SMidCap has improved its peer rankings with a top quartile institutional ranking for 2019 and a 26th percentile ranking over the trailing 3 years in the eVestment universe. SMidCap Mutual Fund, WHGMX completed 2019 in the 28th percentile in Morningstar’s MidCap Blend category. These performance numbers are a great accomplishment for our portfolio management teams and our entire group of research analysts who provide investment ideas for the U.S. value strategies. We are excited about the opportunity in the years ahead for our U.S. equity strategies. Within our Multi-Asset Group, our product lineup holds an array of strategies aligned across the risk and return spectrum that are tailored for a client-specific risk profile and investment objective. Income opportunity put together a great year with compelling idea generation from our research analysts. The fund benefited from the new leadership team of Adrian Helford and David Klatt who made positive asset allocation decisions and timely duration extension calls ahead of the drop in interest rates. Our mutual fund, WHGIX, finished the year in the 11th percentile in Morningstar’s 30% to 50% equity category. It also ranked in the top 10% for the trailing 3, 7 and 10 years as of year end. Our high income, total return and flexible income strategies also all produced strong absolute returns for the fourth quarter and the full year and our flexible income mutual fund, WFLEX, finished with a fifth percentile ranking in the Morningstar 15% to 30% equity category. Strong security selection coupled with timely asset allocation adjustments produced attractive results for our multi-asset strategies. Our global convertible strategy was ahead of its benchmark, the Thomson Reuters Convertible Global Focus Index for the fourth quarter and the full year. Among its institutional peers, our strategy ranked in the 13th percentile for the quarter. Our alternative income strategy, also known as market neutral continue to build on its excellent start by finishing the year with strong absolute returns. And our mutual fund, WMNIX, finished with a 19th percentile ranking in Morningstar’s market neutral category for the fourth quarter and a top decile ranking for the full year. Among institutional peers in the eVestment database, the strategy finished 2019 with a top decline ranking for the trailing 1, 5, 7 and 10-year periods. In emerging markets, most markets posted strong rallies over the fourth quarter to cap off one of their best years since the global financial crisis of 2009. Emerging markets outperformed U.S. domestic markets in the fourth quarter though investor focus shifted towards high beta, high volatility, cyclical securities which are not traditionally favored by our investment process. Our emerging markets and EM Plus strategies underperformed for the fourth quarter in this environment, but our emerging market strategy remained ahead of the benchmark, MSCI Emerging Markets Index for the full year. EM SMid markets trailed the broader EM universe with a lower exposure to China’s rally at year end. Our EM SMidCap strategy underperformed the MSCI Emerging Markets SMidCap Index in the fourth quarter, but finished the full year more than 400 basis points ahead of its benchmark. The valuation case for emerging markets remains positive, particularly relative to developed markets, following the EM asset classes’ underperformance of recent years. Despite the challenges of a global trade war, growth concerns and geopolitical instability that precipitated uncertainty and volatility through most of last year. The developments in trade negotiations and growth indicators that helped fuel an end of year market rally also provide reasons for optimism in the coming year. As long-term investors who have invested through past crisises, we remain disciplined to our process, avoiding the lure-of-the-herd mentality and positioning for the long-term growth story that is yet to come. Shifting now to wealth management, our teams at Dallas and Huston produced great results in 2019. Client retention was high at 96% and in total, our wealth management group had over $400 million in new inflows for the year. We have begun to gain traction in our full suite of financial services with high network clients, which allow us to provide a range of services tailored towards managing and simplifying the increased financial complexity of their livers. Nearly half of our new business in 2019 was from new relationships which included several new large clients and importantly, a younger age demographic. Westwood Private Bank has been open for over a quarter. Through our partnership with the bank, we have broadened our offering for high net worth clients, improving our ability to retain clients in our Westwood branded ecosystem. The concept of providing banking services integrated with existing financial planning, trust and investment management services, including the ability to land against an existing portfolio, combined with bill paying and concierge private banking services is resonating extremely well with our clients. In institutional and intermediary sales, our institutional and retail business had fourth quarter inflows of approximately $400 million that were offset by outflows of $800 million producing net outflows of $400 million. Outflows were primarily in the income opportunity strategy, which despite excellent performance have a large capital gain distribution, which caused several investors to sell out of the fund ahead of the December distribution. We are going back to many of these clients and hopes they will return to the fund this year and we feel income opportunity is poised for return to return positive flows in retail with its strong performance over multiple year periods. Our alternative income strategy also knows as market neutral had net inflows of over $100 million and was our largest gainer for the fourth quarter as our partner, Aviva Investors allocated additional assets to the strategy. Our SmallCap franchise continues to gain momentum with searches on the institutional and retail front. SmallCap was our most successful strategy in terms of net inflows for 2019 and our SmallCap mutual fund in separately managed account vehicles are expected to be approved by one of the major wirehouses this month. SMidCap’s recent improvement and performance has resulted in new searches in the quarter and we can now move into offense with this strategy. In fact, we are making progress on SMid with one of the largest consulting firms, OCIO platform and hope to see additional flows this year. Performance was strong across several of their strategies in 2019 and we are optimistic in our ability to grow assets. We made significant investments in our distribution infrastructure over the last two years, including people and technology to support growth in the years ahead. Some highlights include the following: the completion of the build-out of our institutional and intermediary sales teams and the establishment of dedicated client relationship managers and client portfolio managers, the creation of well-defined territories and top quartile active levels with over 900 meetings held during the quarter, the pursuit of additional platform approvals to make our funds more widely available to investors. We were pleased to hear that our SmallCap Mutual Fund with added to the Schwab OneSource Select list. This an exclusive group of funds that are selected based on performance, risk and expense levels. Possible addition of our strategies on a large turnkey asset management program, or TAP, based in the Midwest, we have submitted the RFPs and expect to available by the end of the first quarter, the redesign of our sales force technology to provide better data and feedback for our sales professionals, a reduction in pricing for many of our strategies along with the introduction of sensible fees to expand our brand awareness and improve our discoverability, the enhancement of our digital marketing initiatives with new content and a focus on our quality value approach for our domestic value equity strategies; the conscious alignment of our investment teams, vehicles, pricing, product definitions, risk guidelines and messaging in order to increase our commercial competitiveness gong forward. With increased sales activity and key consultant approvals, our pipeline is healthy and spread across several different strategies. We have seen a nearly threefold increase in pipeline value from the end of 2018 to the end of 2019 as result of our focused sales effects and investment performance. There are several late-stage institutional opportunities we are participating in and expect decisions in the first half of 2020. We are hopeful and feel that net flows have the potential to be positive this year, with particular strength coming from SmallCap, SMidCap and eventually several of our multi-asset strategies, including income opportunity. Clients are looking for differentiated results and we have demonstrated an ability to deliver a differentiated client experience as evidenced by our high active share equity strategies with strong track records. The asset management industry is experiencing disruption on several fronts. Recent financial results have been disappointing and the industry continues to experience rising data, technology, compliance and distribution costs. The major technologies investments we have made in recent years have resulted in operational efficiencies. Equally important, the value of our investment and our partner InvestCloud has increased by more than 50% in the past year. Further, as part of our cost-sharing agreement with InvestCloud for the implementation of our new portfolio accounting system, we anticipate potentially receiving payments related to this partnership over the next two years. We expect industry-wide disruption to continue and the steps we have taken to reinvent ourselves have placed us in a position to survive and grow. We have taken meaningful steps to reduce our cost structure by reducing personnel and cutting underperforming and commercially unviable funds. We have partnered with a firm in India to reduce our marketing costs and utilizing a freelance writer to replace a former employee. We are looking at our mutual fund and use its platforms for potential cost savings later this year and fine-tuning our InvestCloud technology to create an information super highway to further improve efficiency. While disappointed with our financial performance over the last year, we have made several investments and executed on numerous initiatives to strengthen our foundation for the future. Namely, we partnered with InvestCloud to build, test and install a cutting-edge portfolio accounting system that has increased our efficiency and reduced our operating costs. We have produced excellent investment performance for U.S. value and multi-asset strategies by delivering alpha generation with high active share. We created a partnership with Caris Bank forming Westwood Private Bank with new space delivered on schedule and under budget. We have partnered with Blackstone to give our clients access to Blackstone private equity opportunities at attractive investment minimums. We enhanced our financial planning and state planning capabilities with new hires in Dallas and Houston. We became a signatory to the UMPRI and improved our firm-wide ESG rating. We addressed industry fee challenges by introducing a flexible and innovative fee construct known as sensible fees to meaningfully improve investor alignment. We expanded our multi-asset capabilities to include multiple strategies that allow us to demonstrate skill and judgment across a broad spectrum of risk. We received SEC approval to utilize sensible fees in three of our public mutual funds. We launched SMA accounts on several platforms and have increased platform availability for our mutual funds. We achieved a 70% year-over-year increase in social media impressions and website sessions. We built an institutional intermediary and marketing team of over 30 people to grow future sales and build our brand. And finally, we are pleased to be recognized by Pensions & Investments Best Places to Work for the sixth consecutive year. I want to thank our entire team for all their work on this long list of accomplishments. While much of this has not yet lifted our financial results, we remain confident that we are on a great path to a solid future state. We believe the industry will continue to face major headwinds and will further consolidate in the years ahead. We believe that Westwood is viewed as a great home for teams that want a hardworking, entrepreneurial culture, superior technology, broad distribution and a public currency that can impact with their hard work and results. We are seeing more inorganic opportunities than at anytime in our history. With over $100 million in cash and investments, we are ideally positioned to execute on an accretive acquisition. We are fortunate to have many opportunities to choose from and we will remain disciplined with our shareholder capital. I will now turn the call over to Terry Forbes, our CFO.
Terry Forbes: Thanks, Brian and good afternoon everyone. Today, we reported total revenues of $18.6 million for the fourth quarter of 2019 compared to $26.1 million in the prior year’s fourth quarter and $19.9 million in the third quarter of 2019. The decrease from the prior year was due to lower average assets under management due to net outflows partially offset by market appreciation. The decrease from the prior quarter was due to lower other revenues. Fourth quarter net income of $2.5 million or $0.30 per share compared to $5.4 million or $0.64 per share in the prior year’s fourth quarter. The decrease primarily related to lower revenues and higher foreign currency transaction losses partially offset by lower incentive compensation cost and unrealized gains on private investments. Economic earnings a non-GAAP metric, was $5.4 million for the current quarter or $0.64 per share compared to $9.5 million or $1.12 per share in the fourth quarter of 2018. Fourth quarter net income of $2.5 million was higher than the third quarter of 2019 net income of $1.1 million. The current quarter benefited from unrealized gains on private investments partially offset by higher foreign currency transaction losses. Economic earnings of $5.4 million, was also higher than $3.9 million in the third quarter. For fiscal 2019, total revenues of $84.1 million compared to $122.3 million in 2018. The decrease was due to a $32.3 million decrease in asset-based advisory fees, a $3.5 million decrease in trust fees reflecting lower average AUM and a $2.2 million decrease in performance-based advisory fees earned in 2019. Fiscal 2019 net income was $5.9 million or $0.70 per share compared to $26.8 million or $3.13 per share in the prior year. The current year decreased primarily due to lower revenues and foreign currency transaction losses partially offset by lower incentive compensation expenses and unrealized gains on private investments. Economic earnings a non-GAAP metric was $18.2 million or $2.15 per share compared to $43.9 million or $5.14 per share in 2018. Firm-wide assets under management totaled $15.2 billion at quarter end and consisted of institutional assets of $8.7 billion or 57% of the total, private wealth assets of $4.4 billion or 29% of the total and mutual fund assets of $2.1 billion or 14% of the total. Over the year, we experienced net outflows of $4.4 billion and market appreciation of $3 billion. Our financial position continues to be strong with cash and short-term investments at quarter end totaling $100.1 million and a debt free balance sheet. Today, our Board of Directors approved a quarterly cash dividend of $0.43 per share payable on April 1, 2020 to stockholders of record on March 6, 2020. This represents an annualized dividend yield of 10% as of the closing price on February 4. That brings our prepared comments to a close. We encourage you to review our investor presentation on our website reflecting fourth quarter and fiscal 2019 highlights as well as a discussion of our business, product development and longer term trends in revenues, earnings and dividends. We thank you for your interest in our company and we will open up the lines to questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Mac Sykes from Gabelli. Your question please. You might have your phone on mute.
Mac Sykes: I apologize. Good afternoon, everyone. My first question is for Terry and then two for Brian. On the InvestCloud investment, is that – how is that carried out in the balance sheet, is that a cost and will that be adjusted as you start to take your revenue there?
Terry Forbes: Yes. The initial investment was at cost and then the accounting treatment is cost plus or minus observable market transactions. So in the fourth quarter, there was another transaction with another party which is why we had an increase in the value of our investment which was part of the private investment write-up that we have discussed 
Mac Sykes: Okay. And then Brian, you had mentioned in the release that you are seeing attractive M&A opportunities, I wonder if you could expand on sort of the businesses that you might be targeting or opportunities there of what you are seeing?
Brian Casey: Sure. Well, we are seeing a lot of opportunities out there. We have always had a strong interest in private wealth businesses. We find that private wealth businesses are attractive on many fronts, particularly because the assets are very sticky and it dovetails well with what we have been doing around here for 2.5 decades at our trust company. So, we have seen a lot in that area and we have seen a lot of teams that are stranded, that are looking for home. And for us, we would be particularly interested in a firm that has private wealth and has some of the capabilities that we don’t currently have such as fixed income.
Mac Sykes: Okay. And my last question is on the SMA strategy maybe you could just give us an update on the strategy there, what firm strategies are leading in terms of sales and interest and what kind of platforms you are targeting?
Brian Casey: Sure. Well one of the benefits of SMAs, which is something that we have not done a lot of historically, is that you are not – you don’t inherit the tax liability like you do in a mutual fund. And unfortunately for us last year on our income opportunity fund, the fund shrank in size, but had a really good year in performance and so the folks in December that own the fund on a taxable basis got hit with a large capital gain. In the case of SMAs, you build the portfolio one security at a time, so that the tax treatment goes with the individual over the life that they have it. We have made a really conscious decision to build our intermediary distribution force over the last year when we hired Harvey Steel to run that area for us. He hired 6 wholesalers that all started in July and we have covered the country and divided it into six different territories. We have added three internal wholesalers and we have focused on all of the major platforms and had probably our most success with Raymond James so far. We got great news last week that we got approved at RBC, so we will be selling into RBC and we have got two other wires now, where we are first in goal for approval that we are really excited about and will expand the opportunity set for our wholesalers. December and January were the best months for intermediary sales that we have had in 3 years. The pipeline on the institutional side has nearly tripled. We have got 11 new consultant approvals and 16 in process. Our direct calls on institutions, is up 155% year-over-year and we feel like we are in really good shape. We have spent a lot of time building the foundation and I think this is going to be a year where we have some good success. Because as I mentioned at the top, our performance in U.S. value and multi-asset has really been exceptional, that was one of the better years we have ever had.
Mac Sykes: Great. And glad I asked the question and congratulations on the outlook.
Brian Casey: Thanks, Mac. We appreciate the question.
Operator: Thank you. [Operator Instructions] And I am not showing any further questions in the queue at this time. I would like to hand the program back to management for any further remarks.
Brian Casey: Thank you, Jonathan. Thanks to everyone for your time. If you have any further questions, please feel free to call me or Terry and visit westwoodgroup.com for more information. Thanks again.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.